Operator: Ladies and gentlemen, thank you for standing by. Welcome to DSM’s Conference Call on the First Nine-Month Results of 2018. [Operator Instructions] Now, I would like to turn the call over to Mr. Huizing. Go ahead please, sir.
Dave Huizing: Thank you, operator. Ladies and gentlemen, good morning, and welcome to this conference call on our nine-month results, which we published earlier this morning. I am sitting here with Mrs. Geraldine Matchett, Chief Financial Officer and member of the DSM managing board. She will elaborate on the results, and after that, answer your questions. As always, I need to caution you that today’s conference call may contain forward-looking statements. And in that regard, I would like to direct you to the disclaimers about forward-looking statements, as published in the press release. And with that out of the way, Geraldine, it’s yours.
Geraldine Matchett: Thank you, Dave. Good morning, ladies and gentlemen. It’s a pleasure to welcome you on this call on DSM’s nine-month results for 2018. I will start by providing a few comments on the key slides of our investor presentation that we published this morning together with our press release, and then we will open the line for a Q&A session. However, before starting, I would like to point out again that in order to provide as much transparency as possible, we have reported separately year-to-date the estimated impact on our business of the temporary higher vitamin price results resulting from the exceptional supply disruptions in the industry. Therefore, what is referred to as the underlying business in today’s call and in the press release are the normal business activities, excluding this temporary vitamin effect. As previously mentioned, this split is, of course, not our usual way of reporting and thus requires some estimates. Now, let’s start with the financial highlights for the third quarter on Page 3. As indicated on this slide, we have had a very good third quarter, building on the strong performance we reported in H1. And as a result, we are well on track to making 2018 a very strong year, exceeding once again our Strategy 2018 target. In our underlying business, we reported in Q3 a 5% organic growth despite the tough comparable figures in the same period last year, and all the businesses delivered above-market growth. Adjusted EBITDA in the underlying business increased 7% in the third quarter. Foreign exchange remains a negative effect in Q3 of roughly €10 million, which is substantially lower than the €50 million impact in H1. And at constant currencies, the adjusted EBITDA growth in Q3 was 10%. This strong earnings performance resulted in a higher ROCE of 13.6%, up 130 basis points compared to the same period last year. As to the temporary vitamin price effect, we saw a small residual EBITDA impact of about €15 million in the third quarter, bringing the total benefit in 2018 to €290 million. Before we take a closer look at the performance of each business in the third quarter, let’s first go to the outlook on Page 5. As indicated in our press release, we confirm our full year outlook. And as we are approaching the end of the year, we have just fine-tuned the adjusted EBITDA growth guidance from towards 25% to approximately 25%, recognizing the slightly higher benefits from the temporary vitamin effect while maintaining the same outlook for the underlying business and assuming the same €70 million negative FX headwind for the full year. With reference to each of our businesses, we continued to see good business conditions in Nutrition, with continued good momentum in all regions and segments for both animal nutrition and human nutrition. In Materials, we continued to see good business conditions in most businesses, although we experienced softness in some automotive as well as building and construction markets. But we believe some of these impacts could be temporary in nature. For all the other Materials business, as just said, we see ongoing good business conditions. Moving now to Page 9 for the temporary vitamin price effect. As indicated here in the middle table and as already mentioned, we still had, in the third quarter, a small residual €15 million adjusted EBITDA benefit from the exceptional vitamin pricing effect. That brings the total additional adjusted EBITDA in 2018 from this temporary event to €290 million. For the remainder of the year, we do not expect any further benefit from this exceptional vitamin price effect, as the market’s disruption started in November 2017, and we already had begun to see a small positive effect at the end of last year. Now, moving to the performance of the underlying business in Nutrition, let’s go to Page 10. Nutrition continued to deliver in quarter 3 on its above-market ambition and another -- with another good quarter, with 7% organic sales growth. Volumes increased 3% despite a very challenging prior year comparable period, and prices were up 4%, reflecting, in part, initiatives to offset higher input costs and negative foreign exchange effect. This contributed to a year-to-date organic sales growth of 9%. This good top line performance, together with the contributions from our cost savings and efficiency programs, contributed to a strong adjusted EBITDA growth of 10% in the underlying business for Q3, leading to an overall 8% increase year-to-date and this despite the FX headwinds. In both the quarter and year-to-date, this strong performance has resulted in a 90 basis point step-up in margins. Now, looking more specifically at animal and human nutrition, let’s first move to Page 11. Animal nutrition continued to show good momentum in the underlying business in the third quarter, with an organic growth of 7%. Volumes were up 2%, which is good, given the exceptionally strong prior year comparative period, which posted a 14% volume growth. We continued to see good business conditions across regions with especially strong sales in Asia. In China, there was a minor impact from the outbreak of the African swine flu, but this effect was largely compensated by increased demand for poultry, which highlights the benefits of DSM’s diversified presence over species and geographies. Volumes under -- volumes during the quarter were partly impacted by the residual effect of the Brazilian truckers strike at the end of the second quarter as well as from the temporary shutdown in the DSM-Tortuga’s Pecém operations following a tragic incident, where, sadly, a subcontractor lost his life. When adjusting for these effects, the normalized volume growth would have been about 4% for the quarter. Prices rose 5% in Q3, in line with both Q1 and Q2. This was mainly the result of initiatives undertaken to mitigate higher input costs and the impact of, clearly, less favorable exchange rates, especially the weaker Brazilian real. Furthermore, prices were supported by the effects of the Blue Sky policies. Year-to-date, organic sales growth reached 12% with volumes up 6% despite tough comparables in the same period last year when volume rose at 8%. Now, let’s continue with human nutrition, moving to Page 12. Our human nutrition business continued to deliver strong growth in the third quarter, with organic sales up 5% and with volume up by 3%, with good sales in Europe and North America, while Latin America and Asia were particularly strong. By segment, dietary supplements and pharma performed strongly, while Early Life Nutrition maintained its good performance across all regions. Food & beverage showed slightly softer sales in the developed markets but without changing the good momentum. Our i-Health business again delivered double-digit growth in the quarter, in line with the strong performance during 2018. Year-to-date, human nutrition performed strongly, supported by all regions and segments and resulted in an estimated 7% organic sales growth, with volumes up 4% above market. Prices in this period were up 3%, coming from the combination of a positive mix effect as well as higher prices for premix and advanced solutions and supported by the effects of the Blue Sky policies in China. Now, for our Materials business, let’s move to Page 13. Although we experienced softness in some of the automotive and building and construction markets, Materials delivered a good performance in the third quarter with 3% organic sales growth, 3% adjusted EBITDA growth and an 18.3% adjusted EBITDA margin. Let me talk through each of our businesses. DSM Engineering Plastics delivered a very strong sales performance in the first 9 months of the year across all regions. Towards the end of Q3, automotive demand in China softened, and automotive sales in Europe were temporarily impacted by the implementation of the new WLTP test requirements. Business conditions in all other segments continued to be good. DSM Resins and Functional Materials showed good performance in coating resins in North America and Asia year-to-date, while there was a gradual slowdown in Europe in building and construction markets. Functional Materials are well on track to deliver a very good year, reflecting strong demand for these products -- high margin products in the IT infrastructure space. DSM Dyneema continued its strong performance throughout 2018, driven by high demand for personal protection. Overall, volumes in Materials were up 2% -- sorry, overall volumes in Materials were 2% lower in Q3, driven by resins, but this 2% has to be taken in the context of tough comparable figures for the same period last year when we reported a 9% volume growth, which was also driven by resins. The 5% price growth in the quarter largely reflects a depository of higher input costs. Looking at the first nine months for 2018 for Materials, we see a strong performance, with an organic sales growth of 7% and adjusted EBITDA growth of 7% and a ROCE of 21.5%. Now, moving to Page 16 for a couple of quick comments on our Innovation Center. In addition to the business developments described on this slide, when looking at the results of DSM Innovation Center, please note that the adjusted EBITDA line is impacted by special events. While we had a positive impact last year in Q3, this year, we will have a positive license income of approximately €5 million in the fourth quarter relating to the exciting new DSM technology partnership in ophthalmology. Now, moving to cash flow and working capital, let’s go to Page 18. Cash flow from operating activities amounted to €933 million in the first 9 months of 2018, an increase of €314 million, or 51%, compared to the same period in 2017. This is, of course, partly reflects the result of the temporary vitamin price effect. Average total working capital as a percentage of sales came down slightly at 18.5% during the period under review from 18.6% in the first 9 months of 2017. The absolute amount of operating working capital increased somewhat compared to Q3 2017. The increase was due to higher inventories in Nutrition ahead of the scheduled maintenance stops in the fourth quarter as well as higher receivables in line with the higher sales levels. Having said that, we know that we -- you know that we believe inventory levels in Nutrition are too high, and we are working on structurally improving this over the coming strategic period. Net debt closed at €680 million, down from €831 million at the end of June. And last, but not least, the sale of our stakes in DSM Sinochem Pharmaceuticals as well as in Fibrant, the caprolactam JV with CVC. We have completed these in October. This will bring an estimated €470 million in cash split over Q4 2018 and 2019. And with this, I would like to open the floor for questions. Operator?
Operator: [Operator Instructions] The first question is coming from Mr. Martin Roediger with Kepler Cheuvreux.
Martin Roediger: What does your order book tell you for Engineering Plastics in October and for the upcoming November? Maybe you can differentiate between the demand in China and in Europe so that we understand what is more temporary and what is not temporary. And staying at Materials, you mentioned the -- regarding the European building and construction market, a gradual slowdown. Maybe you can also give us more hints about the momentum at the end of Q3 and at the beginning of Q4 what you see. That would be very helpful.
Geraldine Matchett: So coming first -- going first to your Engineering Plastics question. So what we’re seeing broadly in October, we’re not seeing a big differentiated pattern compared to what we’ve commented on for Q3. So what we’re seeing is that there is that softness in automotive in China, mainly. What is less clear in Europe is how long will the WLTP impact will be. But we’re not seeing a very different pattern looking towards the year-end than we have seen recently. And as for the European slowdown in building and construction, I mean, what is interesting there is that if you look at the macro data, it’s not as if the overall picture is poor. So it seems that there may be an element of sentiment and caution out there that can be impacting the supply chain, and we will have to see how, basically, that unfolds over the coming few months.
Operator: The next question comes from Mr. Andrew Stott with UBS.
Andrew Stott: Question on vitamin mechanics. I guess, we’re moving now from talking about exceptional profit to negative year-on-year. I guess, we were never really privy to your exact assumptions on what is normal and what is abnormal. But I’m just mindful of vitamin E pricing being well below €4 a kilogram, again. So when I think of your guidance for Q4, the implied guidance, is there already a negative expectation for pricing in Nutrition in Q4?
Geraldine Matchett: Andrew, let me just maybe, for the sake of completeness, rewind a little bit on the vitamin reporting as you said. So as I indicated from Q1, what we did to try and provide as much transparency as possible is look at the pre-disturbance prices in volumes in vitamins. And then for Vitamin E and Vitamin A, we said, well, these are the ones that are impacted by the supply disruption, so let’s calculate the delta. So as you know, this has led to these exceptional profits, and we saw in Q3 a residual benefit there. Now altogether, that’s the €290 million that we report, and in Q4, we don’t expect to see a benefit anymore. If you want, all parties are back in the market, so the market participants are normal again. And remember that this disruption actually took place in November -- the beginning of November last year, so we had a small benefit already in Q4 last year. So we will not be showing a benefit. And if anything, the benefit last year was probably in the order of about €15 million, so not something massive but nonetheless there. So that’s the circumstances. And then while we are back in the market that we are used to being present in with pluses and minuses, now we, as you know, have a broad portfolio of ingredients. We sell a lot of our ingredients through our premix, and I would say that market conditions are now what we are familiar with.
Andrew Stott: So, just to clarify. So, you see a neutral impact in Q4 is, I think, what I’m hearing. I just wanted to clarify that.
Geraldine Matchett: Yes, broadly, that’s the picture, and, of course, it’s all embedded in the outlook that we provided this morning.
Operator: The next question comes from Mr. Mutlu Gundogan with ABN AMRO.
Mutlu Gundogan: A question on what you said on the Innovation Center. You talked about a €5 million royalty income in Q4, if I’m not mistaken. Just to be certain, is that more of a one-off like an upfront payment or a recurring number per quarter as this royalty income? So that’s the first question. And then secondly, on your balance sheet, your share price is down, I think, something like 20% in the last month. Does that improve the chance of a share buyback?
Geraldine Matchett: So, first with your first question on the Innovation Center. So the about €5 million income in Q4 is actually a first initial payment that we’re getting from our partners with whom we’re doing this development in ophthalmology. It’s, by the way, a polymer that’s loaded with APIs, I think, glaucoma. There was a press release that came out in the -- during Q3, .
Dave Huizing: August.
Geraldine Matchett: Yes. Can’t remember exactly which date, but -- and then what we have is we have an ongoing relationship with them, and we will then have milestone payments along the way. But we just wanted to highlight that this is -- because the press release went out in Q3, we’re actually getting the payment in Q4. And as for share buybacks, it doesn’t impact our priority in terms of capital allocation, which, as you know, is to first support our organic growth then the dividend, then M&A and then should that then not result in making good use of the balance sheet, then share buybacks. But in itself, it’s not triggering a higher likelihood of a share buyback.
Mutlu Gundogan: No, I mean, I know your priority. Just wondering if your share price, for example, declines much more than some of your potential targets, would that change the priority? That’s maybe the question I wanted to ask.
Geraldine Matchett: We really look at the fundamentals of the business when we’re looking at where we deploy the capital. The market’s, sorry to say, a little bit all over the place right now, at least in my view. And when we’re looking at where do we deploy capital, we truly look at 5-, 10-year horizons and what makes sense. So it’s not having a big impact.
Operator: The next question comes from Ms. Laura Lopez Pineda with Baader Bank.
Laura Lopez Pineda: So, first, you highlighted on the press release that your Early Life Nutrition business continues to perform good across all regions. But some of your end customers reported a strong slowdown of the market, especially in China. So can you give us some insight into this difference? Is it more that you maybe saw some restocking in the third quarter, keeping the good results for this business or are you maybe seeing local companies gaining market share that you also supply? And secondly, also, due to the imposed tariffs on U.S., soybean prices have increased in China, and as a result, China’s new animal feed standard is set to lower protein levels in feed for pigs and chicken. So this could potentially have a clear positive impact on amino acids, but do you also expect some positive impact on demand for vitamins?
Dave Huizing: Sorry. We missed the first part, Laura. What product were you referring to?
Laura Lopez Pineda: The first question or the second question?
Dave Huizing: Second question, you were saying...
Laura Lopez Pineda: Yes. China is set to put new standards on animal feed, lowering the protein levels. So this is expected to have a potential positive impact on amino acid demand. But I don’t know if you also expect or you’re seeing that maybe this too also trigger or accelerate positive demand for vitamins.
Geraldine Matchett: Thanks, Laura. I got that. So maybe starting with Early Life Nutrition. I think what I have to say is really reiterate what’s in the press release, which is that we’re seeing very stable, solid market dynamics on Early Life Nutrition. Now we are conscious that some companies have been actually coming out with very different pictures as to how the market is evolving. But if we take it -- and we serve a big part of the market, so many of the players, and if you put it all together, we’re not actually seeing a very different dynamic at all. Now there is the new regulation coming potentially early next year in terms of channels to market, but even there, we don’t see a big issue in the sense that it should not overall impact our ability to serve the market because we have a good mix between international and local players. So from our perspective, nothing very much there to report. As for China and the soybeans, then it is indeed something that seems to be moving as we speak. The exact implications we still need to figure out. Now one thing is for sure is whatever the bulk commodity is, particularly when it shifts, it can create opportunities to then provide the solutions to -- for the producers of meat to mitigate that. So a little early for us to be more specific on that comment, but we are seeing how that will lead to our -- what is sizable and very positive animal Nutrition business in China.
Operator: The next question comes from Ms. Reg Watson with ING.
Reg Watson: One of the notable features of the result seems to be that your margins are well ahead of where consensus expected them to be. And looking through the waterfall charts, pricing has been strong, but volumes are perhaps a little weaker, but within that effect of better margins. How much longer do you expect this trend to continue?
Geraldine Matchett: Let me see if I got your question right. So what we’re seeing is in terms of volume developments, the business conditions we see as really very much in line with what we were discussing at the Capital Markets Day in terms of all the trends supporting our Animal Nutrition and our human nutrition business. So in terms of our ability to grow above market, we’re very confident in that, and we’re seeing the market dynamics remain very solid. Now when it comes to pricing, we have, of course, seen since the second half last year that there was a general inflationary environment, particularly with our input pass-through costs. As you know, in our premixes, et cetera, we also have ingredients that we source. And we also saw the foreign exchange effect that we had to sort of offset through pricing. So given that we probably expect both of these to sort of normalize, it would be relatively logical that the pricing up would normalize as well in the coming quarters. So that’s broadly the picture.
Reg Watson: So, this is just sort of the elastic band snapping back in terms of the margin expansion you’re seeing?
Geraldine Matchett: What’s supporting -- we’re not expecting the margins to have an issue. But as what your question was, are we expecting to see the pricing up continue at these kinds of paces, and there, I would say, we’re expecting it to normalize somewhat, given that we’re starting to start hitting the comps where we already had in there the inflationary and the FX effect.
Operator: The next question comes from Mr. Paul Walsh with Morgan Stanley.
Paul Walsh: I just wanted, on the first question, to come back to Andrew’s point around vitamin prices. As we look into 2019, and it’s a simple question, really, I think it’s just to try and understand if the current vitamin pricing complex is a plus or a minus in the underlying EBITDA bridge at current prices moving into next year, i.e., just sort of stripping out the €290 million. I think I understood you correctly, Geraldine, that current pricing is more or less in line with the pre-escalation levels. But moving into next year, I just wanted to be clear on whether or not it’s a plus or a minus, given where current prices are. And my second question, just coming back to the Materials business. Good pricing as we’ve seen and very strong spreads in the nylon 66 chain as well. Again, moving into next year, are you still confident of being able to grow that business?
Geraldine Matchett: So, let me start first with the vitamin question. So indeed, what we’re seeing is that we did, to the best of our ability, carve out the abnormal environment. So that was done and now everybody is back on the market and the market is, I would say, in that sense, having normal dynamics. Now without going into vitamin-by-vitamin saying is that, broadly, we are not flagging at this stage any big differential in the current pricing versus pre-disturbance. And really, we don’t comment at this stage on 2019. We will do that when we come out with our full year results. But broadly, you understood the answer correctly early on. And then to your second question on Materials, I’m afraid I didn’t quite understand where you were commenting. Was that...
Paul Walsh: So, basically, the volumes are negative in the third quarter, and you flagged the issues around China auto and the construction market. So I think you’ve just mentioned that in terms of the pricing momentum generally that starts to ease on the comps. What I’m thinking about, it’s been a very good year for the Materials business. Are you just still confident of making progress in that business next year, is the question.
Geraldine Matchett: Yes. No, absolutely. So what we’re seeing is that the comps remember, last year, actually, in Materials, we grew 9% volume-wise, so you clearly have a comp effect going on here in Materials. And also, what we have seen in the past is that if input costs tend to rise, we have an ability to push it into our pricing. There may be a little bit of timing delay, that can always happen. Now maybe one thing that I would highlight, just to put things a little bit in perspective, is the parts of our Materials business where we see softness together represent 5%, 6% of total group sales. So we’ll also have to put that into perspective. So we have [indiscernible] in our Functional Materials, in Dyneema. We have -- actually, the E&E is [indiscernible] also. Overall, we’re pretty positive. We’ll have to see, of course, how things unfold in the weeks and months to come, but so far, we’re confident.
Operator: The next question comes from Ms. Theodora Lee Joseph with Goldman Sachs.
Theodora Lee Joseph: So, I’ve got two short ones. The first one is trying to understand the kind of shift in the phrasing that you said about full year ‘18 outlook growth of approximately 25%. So I was just wondering if you could provide more color around that and how you’re thinking about the factors that actually influenced this range for the fourth quarter. And my second question is trying to understand the operational drop-through in vitamin A pricing. Of course, it’s a €50 million contribution to sales, and the way we think of it’s still actually pricing, we would expect the drop to EBITDA to be much higher. So a little bit of clarification on that would be great.
Geraldine Matchett: Yes. In terms of the outlook, I don’t think I can be a lot more explicit. The only thing is, of course, when we gave the outlook at the half year, we still had a half year to go, and we said towards 25%. Now we were just fine-tuning it a little bit and saying approximately 25%. But this is taking in everything. So I can’t really put any more color to that other than it’s the overall outlook for the company. Now as for the drop-through in terms of the vitamin effects, now what we see is that, anyway, as you saw in Q1 and Q2, you don’t have a full drop-through from sales to earnings. And -- in this -- in Q3 because it was a residual effect, what we saw is that we had to purchase some vitamin E to meet market demands in these environments. And during Q3, we did a slight valuation adjustment on those inventories, which creates a bit of a netting. Hence, the gap is a bit bigger than in Q1 and Q2.
Operator: The next question comes from Mr. Patrick Lambert with Raymond James.
Patrick Lambert: Three little questions. The first one just to make sure that I understood from your answer to Paul that your auto exposure overall at DSM is about 5%, 6%, first question. Second question, could you -- on the cash inflow from disposals, could you be a bit more precise on Q4? Out of the €470 million you’re expecting, how much would be there? And a bit more also precise on the timing of the compensation in 2019. And the last one, any update on [indiscernible] three big projects that you can talk about.
Geraldine Matchett: So clarification on automotive sector. So indeed, if I take total DSM, automotive is broadly 6% of sales. But actually, what I was referring to is that we’re not seeing softness across the whole of the sector, automotive. It’s more China at this stage. And this impact of the testing going on in Europe, which we saw in the quarter, sort of impacts a little bit the normal volume flows. And if I take those areas, that’s actually 3%. And then the building and construction, if we look at the exposure there of the softening in Europe, that’s another 3%. So if you put the 3% and 3%, that’s the 6% I was referring to, but it happens to also be 6%. Did we clarify? Now in terms of the disposal, so indeed there was a press yesterday and one this morning. So together, €470 million cash will be coming our way. In the case of DSP, it’s quite straightforward. It’s coming in Q4, and that’s around €270 million. In the case of Fibrant, because it is the divestment of assets within an associate rather than directly by us, the timing there between Q4 and next year is still a bit in discussion and is at the discretion of the overall ChemicaInvest joint venture. So we will clarify during Q4 how much falls in Q4 and what will be then in 2019. It will be a split and I don’t have it here. And then you were saying what is the news on our innovation big ticket, I’m assuming you were saying?
Patrick Lambert: Exactly.
Geraldine Matchett: Okay. So firstly, Veramaris is progressing very well. As you know, we’re in full construction phase. That is on schedule, and we should be seeing that progressing nicely into next year. In the case of fermented Stevia, the market -- product is going to market. You remember that was the big next milestone in the second half in North America, actually, Mexico and North America. It’s going well, so products are out there. We have raw materials in it. So we will see how that goes. And as for Clean Cow, it’s still very much in -- this one is going through the regulatory hoops. Nothing in particular to report in Q3. But it’s all ongoing and very much in line with what we discussed at the capital markets.
Patrick Lambert: There’s no milestones to be noted in terms of performance of those products?
Geraldine Matchett: Not this quarter. Yes.
Operator: The next question comes from Mr. Andreas Heine with MainFirst.
Andreas Heine: I have a question first on the Materials, basically, 2 questions here. The margin is very high and you said that you were able to transfer higher raw material costs as price increases. Usually, that has then kind of margin dilution, in fact, if it comes to EBITDA margin to sales. I want -- I would like to know whether the lower contribution of resins had a positive mix effect to the margin. And maybe you can share a little bit, not too precise, but rough order of magnitude how big the Functional Materials sales meanwhile are. And then looking to Q4 and the cash flow, last year, you had quite an increase in net working capital in the last quarter due to these vitamin effects leading to higher receivables and also due to the preparation in Latin America for potential hiccups in the supply to customers due to the introduction of the SAP system. So looking now into Q4, I would expect that you can run down net working capital significantly so that you do not have to have much more than you had last year. Is that too positive? And then lastly, on i-Health, you had strong growth always in the U.S. and intended to broaden the business outside to U.S. Could you give us an update where you stand here and how much of the sales, meanwhile, outside the U.S. of i-Health?
Geraldine Matchett: So, to your first question in terms of Materials and is there a mix benefit, indeed, there is a bit of a mix benefit currently. And what we’re seeing is actually that the input cost inflation is a part of the good pricing environment that you’re seeing in the development in Q3. So that’s why you have a margin benefit. It’s not entirely just reflecting input costs, but there is also a margin benefit there. So it’s a combination of both, which is leading to this nice margin position for the quarter. Now when it comes to working capital, it’s indeed actually famously difficult to carve out on a balance sheet position what is the vitamin effect versus what is underlying. We’ve done, to the best of our ability, the split in terms of the income statement. And what will be seeing is an unwinding, which is a logical one because of the higher sales level that the receivables will come down. Also, it’s probably worth flagging that the inventory is also a bit high due to the stops. We have somewhat bigger stops in Q4 this year, and we anticipated that by building up some inventory. So it is a fair assumption that in that respect, we will be seeing a decline in our working capital in Q4. The SAP implementation in Latin America has been very successful. And that is, actually, in itself now not an element that has worked its way through the system, and the business conditions in Latin America are good. So there, we are seeing, actually, very much a normal flow in terms of inventory levels. But the long and short is that as we approach the year-end and in the fourth quarter, we will be seeing OWC coming down over time. And then in terms of i-Health, double-digit growth once again. And yes, the split actually between U.S. and the other markets, I don’t have at hand, but it is the -- an extension of the business and is doing well. But I’m afraid I don’t have the split at hand for you here. And I think there was one part that I forgot. Sorry, it was your...
Andreas Heine: That was whether you could give any flavor how big, meanwhile, the Functional Materials business in resins is.
Geraldine Matchett: Yes. Normally, we don’t sort of split it out per se, but to give you a bit of a flavor, we’re talking around €150 million sales in Functional Materials.
Operator: The next question comes from Mr. Chetan Udeshi with JP Morgan.
Chetan Udeshi: I know you commented you won’t give any more color on full year beyond your comments. But just thinking on Q4, specifically, if I just take 25% growth of full year, it does imply Q4 will be down year-on-year. So is that the thinking maybe small down or, at this point, you don’t see Q4 declining from what you see in the order book?
Geraldine Matchett: Yes. I think here as we indicated in the opening comments that is probably worth reiterating, we have to be a little bit careful that in Q4 last year, we already had the vitamin disruption because it started beginning of November. And what we saw in Animal Nutrition, in volumes, not in price, but there was additional orders clearly already in Q4. And we’ve sort of broadly quantified, that means last year, we had about a €15 million benefit from the vitamin effect in your prior year Q4 numbers. So when you’re doing the bridge Q4 to Q4, then you have to watch out for that. And actually, as just mentioned regarding working capital, probably good to bear in mind that the shutdowns this year are a bit more substantial in Q4 and that can also have a slight impact on that bridge.
Chetan Udeshi: And can I follow up, sorry to be coming on this question again, on the vitamin prices. And of course, we don’t know what was your assumption on the undisturbed pricing. But if you look at the vitamin E price, at least the spot price has come down quite a lot from the undisturbed price from last year. Vitamin A is still well above the first half levels for this year. So are these different moving parts that make you think that maybe vitamin E might be lower, but offset by the -- some other vitamin prices? Or you think you -- is it a fact that you never sold at the highs of vitamin E prices last year and that’s why your impact is not as much as might be visible from the spot market pricing?
Geraldine Matchett: Yes. I think there’s a couple of comments to be made with vitamin E. Firstly, when it comes to the vitamin effect, please remember that it was E and A, but primarily A. So as I think everyone knows, there is, in vitamin E, actually, quite a lot of supply. There’s more supply than there is demand. So what happened when the disturbance came is that some of the smaller producers saw the dynamics in the price of vitamin E and, therefore, more capacity came on the market. So what you see is the spot prices tend to overshoot both ways. They overshoot on the upside versus our real prices, and they overshoot on the downside as well, as now all the capacity is on the market, and it will take a bit of a time delay for that to normalize itself. Now we do believe that at these prices, for some of the producers, they will be difficult to continue. And therefore, we very much believe the vitamin E price currently is at the trough type of level. So it’s a combination, in your comment, of the fact that the spot prices are not our prices, but on top of that, they move quite substantially, and that at these levels, we believe that for some producers, it is not sustainable.
Chetan Udeshi: Is vitamin A price of €60 to €65, you think is that the new normal at this point? Or would that come down as well, at least that’s a spot price?
Geraldine Matchett: Yes. I mean, we’re not going to go vitamin-by-vitamin as to what is normal and what is not normal. What we’re saying is that now all players are back on the market. And therefore, the extraordinary disruption situation where the big producer and the force majeure is now not happening. And we are now in, I would say, dynamics of markets and players, which are without disruption, let’s call it that way. Now vitamin A, if I start giving comments on pricing of certain ingredients, it’s commercially not very wise. But I would make a comment here that, please remember, vitamin A is actually very well balanced in the market in terms of supply and demand and has quite substantially different dynamics than the vitamin E. That, I think, is a fair statement.
Operator: The next question comes from Mr. Laurence Alexander with Jefferies.
Laurence Alexander: Could you clarify just quickly sort of how you think about the FX and productivity run rate at the end of the year or going into next year? The comments -- can you give a little bit more granularity on the softness you’re seeing in food & beverage, where it is or which regions? And then with Stevia, can you give a sense for how the first capacity when it ramps up, what the sales of that facility might be or how we should see it flowing through the P&L? If you could just touch on those 3 things.
Geraldine Matchett: Let me maybe start with food & beverage. We had, at the Capital Markets Day, quite a discussion about the food & beverage segment and the fact that it’s going through quite a lot of transformation as a space, seeing where the growth is coming from between the larger global players versus regional players and how important having solutions plays in that space. So what we’re seeing there is actually entirely in line with what we were discussing during the capital markets, where softness tends to be more in the mature markets. And also, with the larger players at this stage, we’re seeing more positive dynamism in the emerging markets, where urbanization is basically supporting the development of food, which is bought from shops as opposed to markets and where we are also seeing very strong growth with local and regional players. Now all of that picture remains unchanged. And of course, the investments that we have made to have a very good geographical footprint with local and regional development centers, et cetera, really supports our ability to tap into the higher growth part of the food & beverage while continuing, of course, to serve our traditional markets and large clients. So that’s really the food & beverage dynamics. Now I didn’t quite understand your run rate questions in terms of foreign exchange. I mean, maybe I can clarify here that what we have seen is that in H1, we had about a €50 million headwind. In Q3, we have broadly a €10 million headwind. And in our outlook, we sort of put €70 million there. Of course, it’s a bundle of currencies. The stronger U.S. dollar the last few days is a positive news for us. But at the same time, the Swiss franc strengthening is not -- is more of a cost currency for us. And of course, we also have quite a few emerging currencies in our basket, the Brazilian real being quite an important one, but we’re also present in other geographies. So always a bit difficult to read the whole basket, but that is the momentum that we’re seeing, and we’re trying to provide as much transparency there as we can. And then for Stevia, it really is too early to comment on scale of revenues, et cetera. At this stage, we are still in the phase of piloting the materials. So I’m afraid you will have to wait a little longer until we’re in a position to talk about specifics in terms of revenue.
Dave Huizing: So, we have time for only one last question, a short question. So let’s do that. Liz?
Operator: Yes. The last question comes from Ms. Liz Coen, Davy.
Liz Coen: This is more of a broad question, really, in terms of your Human Nutrition & Health segment and the pricing in Q3. You’re saying that it’s supported by the effects of the Blue Sky policies in China. Maybe you could just give us an update on whether we should expect to see this trend continuing for the next few quarters. And then, more broadly, the update on the -- let’s say the regulatory landscape in China for your Nutrition business.
Geraldine Matchett: So, indeed, just a quick rewind on the blue sky policies. So what we see is enforcement of environmental regulations in China causing some disruption with some of our competitors that also are producers of some of the ingredients that we have is what we call pass-through ingredients. And that has had a bit of this inflationary element within our pricing. So to my comment earlier, we are -- this inflationary environment started already in sort of H2 last year. And what we would expect is that we will start seeing from a comps point of view a bit more of a normalization in that space. However, what we are not seeing is that this effect is going away. We believe that Chinese authorities will continue to be stringent and to up the standards of the industry in that sense, which is something that we, of course, welcome. And therefore, we expect that ongoing, this will be operationally and within our space a factor to be kept in mind as we go forward.
Dave Huizing: Okay. That brings us to the end. Geraldine, do you want to make some closing remarks?
Geraldine Matchett: Yes. Just to summarize, we are pleased with the fact that we’ve reported a very good third quarter and with growth above market in all of our businesses, and that is reflected in the strong EBITDA development. We are well on track to delivering a very strong 2018, once again, exceeding the strategic targets that we had set for ourselves in our Strategy 2018. And we, of course, reiterate our outlook for the whole year, and we are very confident in achieving this. We’re, in general, positive about the business conditions, and we remain confident that we are very well positioned to deliver on our target 2021 that we discussed earlier this year. And with that, I thank you all and wish you a good day.
Dave Huizing: Thank you, Geraldine. This concludes our conference call for today. Thank you very much for your attention and your questions. And as always, if you have any further questions, don’t hesitate to contact the Investor Relations team. And with that, I hand back the call to the operator.
Operator: Ladies and gentlemen, this concludes the DSM conference call on the first nine-month results of 2018. Thank you for attending. Have a nice day.